Operator: Good morning. My name is Michaela, and I will be our conference facilitator today. At this time, I would like to welcome everyone to the Regis Corporation Third Quarter 2012 Conference Call. [Operator Instructions] If anyone has not received a copy of today's press release, please call Regis Corporation at (952) 806-2154, and a copy will be faxed to you immediately. If you wish to access the replay for this call, you may do so by dialing (800) 406-7325 using access code of 4531291#. The replay will be available 60 minutes after the conclusion of today's call.
 I would like to remind you that the extent the company's statements or comments this morning represent forward-looking statements. I refer you to the risk factors and other cautionary factors in today's news release, as well as the company's SEC filings. Reconciliation to non-GAAP financial measures mentioned in the following presentation, as well as others, can be found on their website, www.regiscorp.com.
 With us today are Randy Pearce, President; Eric Bakken, Interim Corporate Chief Operating Officer; and Mark Fosland, Senior Vice President of Finance. After management has completed its review of the quarter, we will open the call for questions. [Operator Instructions]
 Now I'd like to turn the call over to Randy Pearce for his comments. Randy, you may begin. 
Randy Pearce: Michaela, thank you. Good morning, everyone, and thanks again for joining us. After I make my remarks with respect to our third quarter results, I'm going to turn the call over this morning to Eric Bakken. And as Michaela had mentioned, Eric's not only our Interim Corporate Chief Operating Officer, but he's also our Executive Vice President and General Counsel here at Regis. Eric, I've asked him to provide an update on our strategic plan and the various business initiatives we currently have underway to ensure that Regis grows profitably and operates efficiently in order to enhance shareholder value. 
 Eric has been with Regis for over 18 years and as you know, is now leading the company's salon operations, including the design and the implementation of our strategic initiatives. We're excited about having Eric lead our operations. And the board, the management team and me, personally, we all have a great deal of confidence in his ability to not only lead, but also to deliver on Regis' longer-term operational strategies. Many of you have formally met Eric, and I've asked him to play an active role in today's call. I believe this increased visibility and continuity is important not only to shareholders, but to the entire company as we continue to transition from my leadership role. 
 Mark Fosland, our Senior Vice President of Finance, will then follow Eric and provide additional details, as usual, behind our quarterly financial results. 
 Let me now comment on our quarterly financial performance. Today, we reported third quarter operational earnings of $0.32 per share, and that was $0.07 above the operating results we reported in the same period last year. These results reflect the negative leverage from third quarter sales, which were more than offset by the continued thoughtful reduction of our expense structure. As we continue to implement our longer-term operational strategies designed to drive increased customer trial, retention and revenue in our salons, this management team continues to remain laser focused on achieving increased cost efficiencies throughout our organization. 
 Our third quarter results also included certain nonoperational charges, the largest of which was related to our previously announced sale of our minority ownership interest in Provalliance, the largest salon company in Europe. The transaction is expected to close prior to September 30 of this year and is subject to the Provost family securing financing for the purchase price. Today's press release provides additional detail regarding these one-off items.
 As evidenced by this planned sale, Regis remains focused on enhancing shareholder value through improving the customer experience in our core North American Salon operations through simplifying our operating model and supporting our distinct consumer segments with differentiated marketing strategies and product offerings. 
 Before we move on, I'd like to provide you a brief update on the board's search process to fill the company's Chief Executive Officer position. In January, the board engaged Korn/Ferry, a leading executive recruiting firm, to assist with the search process. This has been a thorough and deliberate process and is being conducted to identify and interview qualified candidates and to select the most qualified person to lead this company in the future. The process is well underway, and the board will update shareholders as soon as a CEO is identified. In the meantime, this management team will continue to work with the board to execute our operational strategies. 
 That's it from my end at this time. Let me now pass the baton to Eric Bakken, who will update you on our efforts to further refine our salon operations in order to improve the effectiveness and the efficiency of our performance. Eric? 
Eric Bakken: Thanks a lot, Randy, and good morning, everyone. As you know, Regis is currently going through a period of significant and necessary transformational change. While we remain disappointed with the declines in same-store sales, I'm extremely confident that we're on the right track to significantly improve our performance, and I'm pleased with the progress we made in March. Transformational change is not easy, and it's a long-term process. However, there are significant opportunities to improve our business in the short term, as we continue to develop and implement our long-term strategies to drive growth and profitability. 
 As Randy mentioned, I'll discuss our short-term initiatives designed to improve the customer experience, and I'll update you on the development and implementation of our overall transformation strategy, which we have internally branded Regis reignited. 
 Let me begin by providing you with some background information. Over the last several quarters, we've completed a thorough data-driven review to determine the root causes of our performance decline. As part of this analysis, we analyzed over 500 million of our customer transactions to better understand our strengths and our opportunities. We spoke with more than 16,000 customers to find out more about what they look for in a salon experience. We interviewed hundreds of our salon employees and salon franchise owners to learn about opportunities for success, and we researched industry best practices to better understand what our salon competitors are doing well. And all of this research has provided us with a clear picture of our strengths and opportunities. 
 Our major learnings included when a customer leaves us, it's primarily because we did not meet their expectations in terms of service and salon experience, competitors are more consistently meeting these expectations, and certain of our brands are competing against one another. As a result, our strategy focuses on the following core objectives. We must be more customer centric and consistently deliver superior service in every salon, every day to every one of our customers. We'll continue with our efforts to simplify our operating model by consolidating our salons into 1 of 4 consumer segments, and we have to leverage our scale as North America's largest salon company. 
 Before I provide more details around our strategies and implementation plans around these 3 areas, I would like to update you on our short-term initiatives. Organizationally, we are extremely focused on improving the salon experience for our customers. I strongly believe that we can make significant improvements by getting back to the basics. Areas we are focusing on include training and coaching, behavioral observations and staffing and scheduling during peak times.
 We are requiring more interaction and more time in our salons by our field supervisors. There's no better way to understand and improve our customer service than to have our field supervisors in the salon coaching stylist behaviors and interacting with our customers.
 Last month, we implemented a new customer service program that focuses on specific and critical moments in our customer salon experience. Our regional and area supervisors are bringing together groups of salon managers to train on the salon experience. This includes how to effectively recommend services and retail products, but it also includes rapport building and role playing. Salon managers then to return to their salons to coach and train their stylists.
 As part of this focus, we want to generate excitement within the organization, and we want to reward our top performers. Accordingly, this fiscal quarter, we've implemented 2 new compensation programs designed to incent the behaviors we are looking for. One of the programs is focused on service sales improvement, and the other provides additional incentives to our stylists to help encourage professional retail recommendations and product sales. We know that increasing our promotional activities will drive new customer trial. 
 This past February, we ran a one-week haircut sale in approximately 2,300 of our salons. Customer traffic was very strong that week, with the majority of the increased traffic coming from new incremental trial. The key to these programs, however, is customer retention. We must be able to bring these customers back with a salon experience that meets or exceeds their expectations. While we will continue to be more promotional, our primary focus remains on initiatives designed to improve customer loyalty and the overall customer experience.
 I'm encouraged by these efforts, and we continue to make good progress on a number of fronts, but we are certainly not satisfied. Let me share with you 2 areas where we are not satisfied and what we are doing to improve in these areas.
 The first area relates to our CRM program. We are currently capturing customer information and have CRM programs in place in about 4,500 salons. And I expect that we'll have our remaining North American salons on CRM by the end of our current fiscal year.
 In the 4,500 salons that have CRM, we are encouraged to have seen revenue lift versus our control group. We're committed to a robust CRM program. It's important that we know our customers, that we can communicate with them and that we understand their visitation and purchasing behaviors. Customer loyalty measurements are also critical to our ability to measure and incentivize our stylists for delivering a great salon experience. 
 Our progress to date in this area has been slower than I would like. Specifically, the consistency of our customer attachment efforts must be strengthened to more effectively measure loyalty, and the back-end analysis of the data must be enhanced. We have a plan to aggressively get us back on track, and I expect significant improvement in this area in the next 2 quarters.
 The second area that needs improvement relates to the rollout of our new Shortcuts point-of-sale computer system. As you know, our new point-of-sale system will provide improved functionality and enhanced information about our customers. The rollout is taking longer than originally expected due to various connectivity issues within the salon. We're focused on this issue, and we have a plan that will get us moving again. And we plan to update you on our progress on the next conference call.
 Let me now comment on our long-term operational strategy. Over the last couple of months, we've made significant progress developing a comprehensive strategy development and implementation plan. We're finalizing our plan for fiscal 2013, and we will share these expectations with you on our next quarterly conference call. 
 Let's now discuss Regis reignited. As Randy discussed with you last quarter, we are laser focused on a consumer segmentation strategy. Our research shows that over 90% of customers fit into 1 of 4 distinct consumer segments. The majority of our salons will be categorized into the value, value full service, enhanced full service and mass premium segments. We will then be able to achieve scale by simplifying and consolidating our operating models around these 4 key operating segments. In addition, by simplifying our operating models, we can convert existing brands within a consumer segment and drive leverage in our marketing spend by having a larger voice to the consumer. Brand consolidation will continue to evolve around the best brand, best market approach.
 As part of this process, we are about to realign our salon field organization to more effectively support these 4 consumer segments. In the past, we've asked our field supervisors to be a generalist or a jack of all trades. As we look forward, we see the supervisor's role as being more focused on in-salon customer experience and helping stylists and salon managers execute on the overall customer experience program. We will then supplement our field structure with dedicated resources to help out with HR, training, technical education and marketing. And this will free up our supervisors to be in the salons more with a clear focus on improving the salon experience. 
 Our strategy to improve the customer experience begins in our salons with our stylists and salon managers. And a major component of this includes providing them with the appropriate training to ensure we deliver the high-quality experience expected by our customers. We must then measure and reward our stylists based on performance. And our salon pay plans will be enhanced to be more competitive and to reward behavior that is aligned with customer loyalty. Our marketing strategy will also be aligned with each consumer segment rather than brand by brand, and as I just mentioned, brand consolidation will help drive scale efficiencies and increased effectiveness. 
 The use of technology will also be an important component in supporting performance-based measures and will allow us to gain better customer visibility. We will make the necessary investments in technology, such as our new salon point-of-sale computer system. Increased use of technology will help us further leverage our scale and deliver back-office efficiencies. 
 I look forward to the next time we talk, when I'll provide more detail on our strategy and our financial expectations. I'm extremely excited about our transformational strategies, and I'm confident that we will reignite our business and be in position to deliver excellent customer experiences and tremendous value for our shareholders. 
 Before I turn the call over to Mark Fosland, I would like to quickly address our recent Provalliance announcement. We are very satisfied with the terms of the sale agreement with Provalliance. Once the sale has been completed, which we expect to occur prior to September 30, we'll provide you with more details on our plans for the use of the cash proceeds. Our board and our management team continues to evaluate all options as it relates to our non-core assets, and we will provide you with additional updates as appropriate. 
 Thanks. That's all I have for now. And with that, I'm going to turn the call over to Mark Fosland. 
Mark Fosland: All right. Thanks, Eric and Randy, and good morning, everyone. Today, I'll begin by discussing our consolidated financial and operating performance, followed by a review of the major items impacting each of our business segments. 
 Our actual reported results for the third quarter were a net loss of $0.02 per share. However, this included net after-tax nonoperational items of $21 million or $0.34 per share primarily related to 2 items, the impairment of our Provalliance investment, as well as severance cost related to our workforce reduction, which we discussed with you on our second quarter earnings call. Excluding nonoperational items, our third quarter operational earnings improved by $0.07 per share over last year's third quarter, coming in at $0.32 per share. 
 Third quarter sales were negatively impacted by a decline in same-store sales of 3.4%, partially offset by an extra day of revenue due to leap year. If you net these 2 items together, we would have expected our operational earnings to be about $0.22 per share. We are pleased with our operational result of $0.32 per share, which are about $0.10 higher than our sales would indicate. The majority of the increase in our operational results is related to aggressive and responsible expense control and lower-than-planned income tax expense.
 In addition, we have included in today's press release, as well as on our corporate website, a concise reconciliation that bridges our reported earnings to our operational earnings for both the current year and prior year third quarters. I'll now address our third quarter operating results and performance for each business segment. A breakout of our segment performance can also be found in today's press release. My comments this morning will focus on our operational performance, and I will begin with our largest segment, our North American salons.
 Our total North American Salon revenue, which represented 88% of our consolidated third quarter revenue, decreased 1.3% during the quarter to $503 million. Total same-store sales declined 350 basis points. Partially offsetting the comp decline was a 240 basis point benefit from leap year, which provided an extra day of sales. Service comps declined in the quarter by 4.1%. Our third quarter North American service customer visits declined 230 basis points, which was a 20 basis point decline from the trend for the first 6 months of the fiscal year. Year-to-date customer comp trends have improved to 170 basis points over fiscal 2011. 
 Average ticket declined 180 basis points in the third quarter, largely due to our strategy to be a bit more promotional to induce trial. For example, as Eric mentioned, in February, we executed on a successful haircut sale with about 2,300 salons participating. These promotional programs are working as planned, and the returns are solid and will only get better as we improve our customer loyalty scores. Retail Product comps performed stronger than Service during the third quarter, although they did decline by 80 basis points. 
 Let me highlight a couple of areas that performed well. As part of our overall program to focus on customer service, we have encouraged our stylists to make selected product recommendations to our customers as part of the service consultation and salon experience. MasterCuts enjoyed an increase in product same-store sales of 4.3%, and Supercuts posted an increase of 2.3%. We know there is a significant opportunity to improve the service experiment -- experience by recommending the products that are used in salons and are essential to creating and replicating the salon look. As Eric mentioned earlier, in order to help motivate and encourage our stylists, we are testing a program in April and May that will reward our stylists for increased product sales. 
 Third quarter royalties and fees from our North American franchise salons were up 6% when compared to the same period last year and came in at $9.8 million. Our franchisees posted positive same-store sales during the quarter, and we have added 84 new franchise locations this fiscal year. We are very encouraged by the increased growth in new franchise units and by the overall strong performance within our franchise system. 
 Let's now talk about our gross margins. We are pleased to report that our combined gross margin rate for North American Salons came in at 43.4% and was 30 basis points higher than the rate we reported in the third quarter of 2011. 
 Let me now provide you some highlights on our Service margins. Our third quarter Service margin rate of 41.6% improved by 10 basis points over the same period last year. Reduced health insurance costs are the primary reason for the improvement. As we discussed in the third quarter of last year, health insurance expense was higher than normal due to several unusually large claims. Additionally, labor cost improved over the last year by 10 basis points. This improvement in labor rate was slightly lower than we had originally planned. During the quarter, we began a program to determine whether we could drive incremental sales by increasing our staffing levels during peak business periods. We are still adjusting our staffing model, however, we are confident that there's opportunity to staff more efficiently at our peak times. 
 Partially offsetting the improvement in health insurance cost and labor cost was an increase in payroll taxes of 30 basis points. As we discussed with you over the last couple of years, mandated increases in payroll taxes continue to impact our service margins. As we look forward to the fourth quarter, we continue to expect year-over-year improvement in our North American service margins.
 Our Retail Product margin rate for the third quarter of fiscal 2012 came in at 50.1% and was 40 basis points favorable to last year. We continue to realize savings in our commission expense, the result of a lower retail commission structure for new stylists. As we look forward to the fourth quarter fiscal 2012, we expect product margins for our North American salons to remain strong and should improve as we benefit from our lower retail commission program. However, offsetting a portion of the benefit is the incentive program that I mentioned earlier.
 We remain vigilant in controlling costs and increasing operating efficiencies. Similar to our second quarter results, third quarter expense levels in our North American site operating and G&A categories were both down over last year. Combined, we saw a year-over-year expense reduction of $5.2 million. Our advertising spend was down about $1.6 million in the third quarter, primarily due to the timing of expense. The remainder of the decrease was related to expense reductions in several other areas such as supervisor travel, insurance cost, salaries and many other small areas. We are pleased that our efforts to improve gross margin rates and reduce operating expenses caused our operational operating margin to increase to 12.3% of sales, up from the rate of 11.1% we reported one year ago. As we move forward, Regis will continue to aggressively and efficiently manage cost and expenses.
 Let's now move on to our International salon segment, which includes our company-owned salons located primarily in the United Kingdom. As we have discussed with you over the course of the year, the retail environment in the U.K. remains challenging. Our same-store sales in the third quarter declined 10.6%. This decrease in sales contributed to a 240 basis point decline in service gross margin as stylist productivity was lower during the quarter. Our site operating, G&A and rent expense categories declined year-over-year in terms of dollars, but due to the negative same-store sales, we experienced deleveraging and saw a decline in the operational operating margin of 420 basis points coming in at 2.2% of sales.
 Next, I'll provide you a couple of comments on our Hair Club business. Third quarter revenues grew 5% to $37.7 million, essentially due to positive same-store sales growth of 4.3%. Despite favorable leverage from the sales growth, Hair Club's operational operating margin declined 40 basis points during the quarter to 7.3% due to higher supply cost for hair systems, as well as a service sales incentive program. Hair Club's EBITDA margin came in at 15.9%. 
 Let me now transition into a discussion of our corporate G&A expense. As expected, our third quarter operational G&A expense came in at $28.1 million or 4.9% of consolidated revenue. This represented a 50 basis point improvement over the same period a year ago. The majority of the year-over-year rate decrease was related to our expense reduction initiatives. As Eric discussed, we continue to be focused on being more effective and efficient in supporting our salon operations. As we look to the fourth quarter, we expect our corporate G&A spend to approximate third quarter levels. 
 All right, that concludes my comments concerning our individual business segments. Let me now comment on our effective income tax rate. Our third quarter operational tax rate came in better than planned at 33.6% due to the release of certain income tax reserves. Looking ahead, we anticipate that the underlying rate for the fourth quarter fiscal 2012 should be approximately 39%. Our balance sheet remains strong, we have no borrowings under our $400 million revolving credit facility, and we have no liquidity issues. We remain in good standing with all of our financial debt covenants, and we have plenty of covenant cushion. At March 31, total cash was $98 million, and total debt was $292 million. Inventory levels at the end of our third quarter stood at $161 million, but we continue to expect our inventory levels to be in the $155 million range by the end of fiscal 2012.
 Next, I'll provide a quick update on our salon development. During the quarter, we built 46 company-owned salons and closed or relocated 127 others. Our franchisees built 26 salons, offset by the closure of 20 locations. We are encouraged by the increased level of franchise growth during the quarter, and we expect franchise openings this year to be double that of last year. 
 I would now like to make some -- a couple of comments on our updated guidance, which was included in this morning's press release. Our same-store sales and earnings guidance have not changed. We believe our fiscal 2012 same-store sales will be in the range of negative 3.5% to negative 2.5%. At these same-store sales levels, operational EPS should be in the range of $1.11 to $1.21 per share. Operational EBITDA should be in the range of $210 million to $220 million. We expect CapEx for the year to be about $95 million, and acquisition spend will be less than $5 million. At these sales and earnings levels, we expect to generate $75 million to $85 million of free cash flow after our CapEx and acquisitions. 
 All right. We would now like to answer any questions you may have. Operator, can you please provide the instructions for the Q&A portion of the call? 
Operator: [Operator Instructions] And our first question comes from the line of Lorraine Hutchinson from Bank of America Merrill Lynch. 
Rick Patel: This is Rick Patel in for Lorraine. I just had a question on your various sales-driving initiatives. Can you just give us your latest thinking on the timing of when you think these programs will really begin to gain traction aside from the CRM initiative, which I think you highlighted, and perhaps highlight those initiatives that you already see gaining a lot of traction? 
Eric Bakken: Yes, this is Eric. We believe that the initiatives are gaining traction already. We talked about the product initiatives. We believe that that's getting some traction, the service comp initiative as well. We're confident they're gaining traction and will continue to do so as we move forward. 
Rick Patel: And then can you also discuss the tailwind to margins from the changed commission structure for stylists? And I think you made this change a couple of years ago. And given all of the commission structure changes now and the turnovers that you're seeing with the stylists, how many more years do you think you can continue to see a benefit from that? 
Mark Fosland: Yes, right now, we've got about 70% of our workforce is on the lower commission level, so there's still 30% that are grandfathered in. Those are people that have been here long term, so the benefit of the remaining 30% likely happen over a longer period of time. So most of the benefit is realized, but there's still a little bit more to go. 
Operator: And our next question comes from the line of Bill Armstrong with CL King & Associates. 
William Armstrong: Sounds like your CRM rollout is on schedule, but you did mention the POS system is not. Can you give us or maybe elaborate a little bit more what's holding it up and what the outlook might be for getting that rolled out? 
Mark Fosland: Yes, we have been a little bit delayed. We were hoping they'll originally be done by the end of next year, and our current plans look like it may take a little bit longer. One of the things that we're doing is looking at how we can fix that, so we're trying to accelerate that. But as a result, we looked at our current POS system, and we had an ability -- we had CRM in 4,500 locations. And rather than wait for new POS, we put in a, for lack of a better term, a patch that allows us -- that was in existing -- it's in existing 4,500 stores, but we're putting them in the remaining stores so that we can accelerate CRM data collection. 
William Armstrong: And as you use a CRM system, can you give us maybe some color on how that's helping you to reach out to customers and to -- what sort of learnings are you getting from the data gathering? 
Mark Fosland: Yes. We -- today, we've seen incremental lift in terms of test versus control and various programs and email messaging, a lot of communication reminders. We don't want to get into too many of the specifics from a competitive reason, but we are definitely seeing some lift in control. But one of the things that is critical is getting to know our customer better and having improved data. And so that is one of the things we're really focused on today, is making sure we know who our customer is, understanding their visitation trends, understanding why they're coming back, why they're not coming back, and using that data to be more efficient operationally. But a big part of that is really focusing on data and making sure we've got clean data. And we've made a lot of progress recently, and we expect to make a lot of progress in the next couple of months so that the data we've got is much more effective going forward. 
William Armstrong: Got it. And then a quick accounting question. The POS -- the old POS accelerated appreciation, are you done with that? Or will there be a little bit more in the fourth quarter? 
Mark Fosland: There's a little bit more coming in the fourth quarter but very insignificant. 
William Armstrong: Okay. Less than $1 million? 
Mark Fosland: Yes. 
Operator: And our next question is from the line of Jeff Stein with Northcoast Research. 
Jeffrey Stein: I'm wondering how long it's going to take for you just to roll out some of the long-term operational strategies that you outlined, in other words, converting all the -- consolidating all the salon in place, realigning the field organization and so forth. Can you kind of run through a timeline on each of those? 
Eric Bakken: Some of it -- Jeff, it's Eric. Some of it is going to happen very quickly, and we're going to roll out others as we progress. And when you talk about conversions, there are 2 components. There's converting the operating models within the segments. That will help it happen real fast. And then the conversion of brands within segments will take a little bit more time. We're going to be thoughtful about doing that. We've really stepped up our game with respect to the conversion process. We've learned a lot based on our prior conversions, and then we know how to do it more effectively. So that will take a little bit longer, but it's going to be a little bit of a mix. Some of the field reorganization will happen sooner, but that will continue to evolve as well as we move forward. 
Jeffrey Stein: So any way, Eric, that you could kind of put a timeline on each of the initiatives? So I mean are we talking 12 months, 18 months, 2 years? Just aligning the field organization, when is that going to be done? 
Eric Bakken: Yes, Jeff, I don't want to avoid your question. It's going to happen fast, and the answer varies depending on the area that we're referring to. Our plan is to give you a further update in August, and we'll be able to give you significant detail in our August call. 
Jeffrey Stein: Sure. And I don't know if you mentioned this or you said you can't mention this, but what kind of lift are you getting from the CRM system in the 4,500 locations that you currently have it? 
Mark Fosland: We didn't specifically mention, but it's several million dollars. 
Jeffrey Stein: And percentage wise, Mark, roughly, what would that represent? 
Mark Fosland: It's -- Jeff, I'm guessing here, but I think it's 20, 30 basis points, something like that. 
Jeffrey Stein: Okay, great. And final question. You mentioned that you are going to be testing a new reward incentive system for product sales beginning in April and May. How many salons will that encompass? 
Eric Bakken: All of our salons, Jeff. 
Operator: And our next question comes from the line of Jill Caruthers from Johnson Rice. 
Jill Caruthers: You mentioned that the franchise salons, comp positive during the quarter. Could you maybe talk about the variance between their performance versus your company-owned stores and just maybe in generality, the profitability between the 2? 
Mark Fosland: Yes, in terms of performance, their comps compared to -- like a Supercuts franchise compared to a Supercut corporate, there's 150 to 200 basis points of -- very similar trend as to what we talked to last quarter. And profitability is -- at various sales levels are relatively similar between corporate and franchise. Just they have the royalty component, both pay and add fund, similar levels of profitability in terms of -- and just the franchise system has been around longer than they have, so they have more mature stores in there and some more solid markets that have been around for a long time. 
Jill Caruthers: Okay. And then could you talk about -- I know the CEO search is ongoing. Could you talk about other top executive positions that you're looking to fill with a permanent role? 
Eric Bakken: Look, we're looking to get better everywhere we can. We don't have anything specific that we would talk about today, but we're looking to improve wherever we can make improvements. 
Jill Caruthers: Okay. And then just last question. Any update on the Hair Club review? I know you took an audit fee in the quarter. It didn't seem much other mentioned. Any update there would be appreciated. 
Mark Fosland: Yes, there's -- the process is moving forward. You did mention the audit fee. So we're moving forward, but we'll comment when we have something definitive to say. It's just we can say the process is moving forward. 
Operator: [Operator Instructions] And our next question comes from the line of Blair Mlnarik from Robert W. Baird. 
Blair Mlnarik: A couple of quick questions on promotions. You'd noted timing had changed in this quarter. Just wondering what that was. And secondly, are you planning on running fewer promotions in the current quarter? 
Mark Fosland: That specifically wasn't necessarily. The advertising spend decline in the quarter was more due to timing of just more corporate and initiatives that we do. So that wasn't specifically related to any specific promotion. We did have a haircut sale in February. And last year, we ran a similar level of sale but in fewer locations. And then, I'm sorry, what was the second half of your question? 
Blair Mlnarik: I was just wondering if there would be kind of any other timing changes or plans for running fewer promotions in the fourth quarter. 
Mark Fosland: We -- I'm not going to get into too much detail, but we're really -- we will be more promotional just as we have been over the last year. But primarily, what we're focused on in terms of driving retention and operationally improving performance, that's our primary focus. But we will be slightly more promotional in the fourth quarter in terms of a lot of the local level activities that are going on just as you've seen over the last several quarters. 
Blair Mlnarik: Okay, great. And then quick question. When you consolidate banners, how much of the lag is there until you're able to cut out some of the redundancies or start to see efficiencies from doing that in certain markets? 
Eric Bakken: There's very little time lag. We're able to realize the efficiencies in the real short term. There's a short period of transition time, but it happens very quickly. 
Blair Mlnarik: Okay. And then you hinted at you've -- you're trying to get that reaccelerated. Is that -- will that happen quickly as well? Or is that more of a fiscal '13 event? 
Eric Bakken: More of a fiscal '13 event. 
Blair Mlnarik: Okay, great. One follow-up on the new incentive plan. It's, I guess, just how different is that than your current service incentive plan than what you had before this past March? 
Mark Fosland: It's different, because we've never really done anything like that. It's -- some focused on trend improvement and larger dollars, and so it's -- really trying to focus those who are doing -- reward those who are doing well. And on the product side, it's similar, rewarding stylists for creating 2 customers out of 1, giving them some real strong incentives to do that. 
Blair Mlnarik: So more of like an hourly wage before this and not an incentive on performance? 
Mark Fosland: Well, it's more on same-store sales improvements and trend improvements. 
Operator: And at this time, I would like to turn the conference back over to Randy Pearce. 
Randy Pearce: Thank you very much, Michaela. And Eric and Mark, nice job today, thank you. And thanks, everyone, for joining us. Talk to you soon. 
Eric Bakken: Thanks, everyone. 
Mark Fosland: Thanks. 
Operator: Ladies and gentlemen, if you wish to access the replay for this call, you may do so by dialing 1 (800) 406-7325 with an ID of 4531291#. This concludes our conference for today. Thank you all for participating, and have a nice day. All parties, you may now disconnect.